Operator: Welcome to the Dundee Precious Metals' Third Quarter 2024 Earnings Results Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question and answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to our first speaker today, Jennifer Cameron. Please go ahead.
Jennifer Cameron: Thank you, and good morning. I'm Jennifer Cameron, Director of Investor Relations, and I'd like to welcome you to our Third Quarter Conference Call. Joining us today are members of our senior management team, including David Rae, President and CEO, and Navin Dyal, Chief Financial Officer. Before we begin, I'd like to remind you that all forward-looking information provided during this call is subject to the forward-looking qualification, which is detailed in our news release and incorporated in full for purposes of today's call. Certain financial measures referred to during this call are not measures recognized under IFRS and are referred to as non-GAAP measures or ratios. These measures have no standardized meaning under IFRS and may not be comparable to similar measures presented by other companies. The definitions established and calculations performed by DPM are based on management's reasonable judgment and are consistently applied. These measures are intended to provide additional information and should not be considered in isolation or as a substitute for measures prepared in accordance with IFRS. Please refer to the non-GAAP financial measures section of our most recent MD&A for reconciliations of these non-GAAP measures. Please note that unless otherwise stated, operational and financial information communicated during this call are related to continuing operations and have generally been rounded. References to 2023 pertain to the comprehensive periods in 2023 and references to averages are based on midpoints of our outlook or guidance. I'll now turn the call over to David Rae.
David Rae: Good morning and thank you all for joining us. This morning, Navin and I will briefly review our third quarter results and discuss why we believe DPM continues to be well positioned to deliver value now and over the long term. Highlights from our third quarter include progress at our Čoka Rakita project as we completed the infill drilling to the PFS and announced two new high-grade discoveries. Solid production of approximately 60,000 ounces of gold and 7 million pounds of copper. Very strong margins which increased 53% quarter over quarter reflecting an all-in-sustaining cost of $1,005 per ounce and an average gold price of $2,548 per ounce. Also, we had robust free cash flow with generation of $71 million and continued financial strength as we ended the quarter with a consolidated cash balance of $658 million and no debt. I'm pleased to say that we are on track to achieve our 2024 guidance target which will mark the 10th consecutive year we have achieved or outperformed our goal of production and all-in-sustaining cost guidance, a testament to the strength of our operating team and the quality of our mines. Taking a look at our operations in more detail, Chelopech continued its consistent track record in the third quarter, producing 44,000 ounces of gold and 7 million pounds of copper at an impressive all-in sustaining cost of $638 per ounce of gold sold. Over the balance of the year, we expect improved copper grades at Chelopech and the operation is on track to achieve its production guidance for the year. With all-in sustaining cost of $659 per ounce year to-date, Chelopech is also expected to be well within its cost guidance for the year. At Ada Tepe, some temporary challenges impacted performance during the quarter, including lower than expected head grades, recoveries and fleet availability. This resulted in third quarter production of approximately 16,000 ounces of gold and an all-in sustaining cost of $1,171 per ounce of gold sold. The issues that impacted fleet availability have been resolved with performance tracking to plan and we expect higher production in the fourth quarter than Ada Tepe remains on track to achieve its guidance for the year. Turning to our development projects, we continue to progress the pre-feasibility study for our high-quality Čoka Rakita project, which is on track for completion in the first quarter of 2025. At the end of the third quarter, the PFS design and engineering was approximately 80% complete. During the quarter, we completed the PFS infill drilling program, the results of which continue to confirm the continuity of the high-grade mineralization and an updated mineral resource estimate is underway. The geotechnical and hydrogeological drilling program, which will support PFS design and cost estimates, is nearing completion. We're also advancing project permitting activities in support of this timeline with good support and engagement from key regional and national authorities. And this includes preparations for the EIA, which we expect to submit in the first quarter of 2026. What makes Čoka Rakita particularly exciting is that it's an attractive project on a standalone basis, operating -- offering very robust economic returns, production growth and strong margin, and also there's a significant exploration potential across our four licenses, as demonstrated by our recent scout drilling results. In September, we announced two new discoveries at the Dumitru Potok and Frasen Prospect, which are both located only a kilometer north of Čoka Rakita. It is still early days for these discoveries with additional work to do in order to understand the footprint, continuity and overall size potential, as well as the metallurgy, however, the exploration upside remains evidence from our ongoing drilling success. A new high-grade copper-gold mineralization keeps expanding its footprint at Dumitru Potok and Frasen. It also demonstrates that our targeting model is working and that there is significant potential for additional mineralization, a long strike to Čoka Rakita, Dumitru Potok and Frasen. Overall, we're very excited by Čoka Rakita's potential in a region where we've had a presence for many years that has a long history of exploration and mining development and where we've developed strong relationships with local stakeholders. Turning to the Loma Larga project, we continue to progress activities related to permitting and stakeholder relations. The baseline ecosystem and water studies were complete during the third quarter and submitted to the court by the Ministry of Environment. At the end of October, the environmental consultation process with local communities overall voting favorably for the development of the project. We would expect the environmental license to be issued once the free prior and informed consultation process is concluded. We continue to take a disciplined approach with respect to future investments in activities in Ecuador, which will be based on the project achieving key milestones, the overall operating environments in the country, and of course, other capital allocation priorities. Overall, we continue to deliver strong financial results and with both mines on track to achieve our 2024 guidance targets, we're well-positioned to continue our strong operating track record. I'll now turn the call over to Navin for a review of our financial results.
Navin Dyal: Thanks, Dave. I'll be touching briefly on the financial highlights for the quarter and conclude with some commentary on our balance sheet and return of capital program. All of my remarks will focus on results from continuing operation unless otherwise noted. Looking at our financial highlights, third quarter highlights include revenue of $147 million, adjusted net earnings of $46 million or $0.26 per share, cash flow provided from operating activities of $52 million and free cash flow of $71 million. Overall results during the quarter reflect our strong operating performance, the low cost nature of our operations and a favorable commodity price environment. Looking at our earnings and cash flow in more detail, revenue of $147 million in the quarter was 21% higher than 2023 due to higher realized metal prices and lower treatment charges at Chelopech, partially offset by lower volumes of gold sold at Ada Tepe. Adjusted net earnings in the quarter of $46 million or $0.26 per share increased compared to the prior year due to higher revenue and interest income, partially offset by higher plant exploration and evaluation expenses, higher share-based compensation expenses reflecting DPM's strong share price performance and higher income tax. Cash flow provided from operating activities of $52 million per the quarter was lower than the prior year due to the timing of collection from sales, partially offset by higher earnings generated in the quarter. Free cash flow which is calculated before changes in working capital was $71 million per the quarter, an increase of $25 million compared to 2023 due to higher earnings generated in the quarter. Taking a look at our cost metrics for the quarter, all-in sustaining costs of 1,005 per ounce was 10% higher than the prior year, due primarily to lower volumes of gold sold and higher share-based compensation expenses, partially offset by lower treatment charges at Chelopech and higher by-product credits as a result of higher realized copper prices. In terms of our capital spending, sustaining capital expenditures were $11 million for the quarter and were comparable to 2023. While growth capital expenditures of $3 million for the quarter were lower compared to 2023 due primarily to lower expenditures related to the Loma Larga project as expected. On August 30th, 2024, we closed the sale of the Tsumeb Smelter for net cash consideration of $15.9 million. During the quarter, the company agreed to step into IXM's position and entered into a tolling agreement with Sinomine for a period ending four months following closing of the sale where the company will purchase new metal-bearing material and sell the copper blister produced by Tsumeb until the end of the agreement. Sinomine is contractually obligated to pay the company for all DPM-owned inventories at the end of the agreement, which terminates effective December 31st, 2024. As a result, as of September 30th, the company had a total net cash outflow of $94.8 million related to this tolling agreement. We continue to maintain a strong balance sheet and cash position with a consolidated cash balance of $658 million, no debt, and a $150 million undrawn revolving credit facility. Given the strength of our balance sheet and our outlook for continued strong free cash flow generation, we are in a unique position with the financial flexibility to fund growth opportunities while continuing to return a portion of our free cash flow to our shareholders in line with our commitment to capital discipline. During the first nine months of 2024, the company repurchased 3.4 million shares at a total cost of $28.3 million under the share buyback program and paid $21.7 million of dividends, representing an aggregate return of 23% of our free cash flow to shareholders. I'll now turn the call back to Dave for his concluding remarks.
David Rae: Thanks, Navin. In closing, we're in a unique position in the industry considering our strong operating track record, the low cost nature of our operating mines generating significant free cash flow, our attractive organic projects, and the financial spent and flexibility to internally fund growth while continuing to return capital to shareholders. I'd now like to open the call for any questions.
Operator: Thank you. At this time, we will conduct the question and answer session. [Operator Instructions]. Our first question comes from Raj Ray of BMO. Your line is now open.
Raj Ray: Thank you, operator, and good morning, Dave and team. Couple of questions. First up on the working capital changes at Tsumeb. Do you anticipate any more working capital build-up over the next four months, or this is kind of a one-off and it reverses at the end of four months? And second is a broader question on capital allocation. I mean, I understand that the company is looking at growth opportunities both within the portfolio as well as potentially outside. But gold price is significantly higher this year compared to last year. Yet, if I look at the share buybacks for this year, it's probably going on $27 million versus $53 million last year as of Q3. And then if I look at the payout ratios, now there's two things. One is, if you look at the average payout ratio for the last four years for the gold industry, it's been around 65%. Dundee is at the low end of that, around 23%. Now this one, obviously the free cash flow is much larger for Dundee given your cost structure. But secondly, do you anticipate keeping the same capital returns? I mean, the one risk you, there's two questions that we get from investors. One, does the company believe that it's fairly valued at this point? And second is, is there imminent M&A potential that the company sees in the market? I'll leave it at that.
Navin Dyal: Hi, Raj, it's Navin. Yes, I'll answer the first question and touch upon the capital allocation question in a second and then I'll probably turn it back to Dave. So in terms of the working capital buildup, yes, what we will see over the course of the four months is puts and takes in terms of buildup of purchases that we've made as well as the timing of blister returns as well. So within the quarter, you'll see increases in inventory, but decreasing by the end of --, decreases as a result of blister returns. So by the end of the year though, again, we fully anticipate that this agreement and as contractually obligated, this agreement terminates at the end of December. So we would expect all that working capital come back once a disagreement is terminated and Sinomine purchases that inventory. Maybe turning to your second question on capital allocation. So in terms of conversations that we might otherwise have around increasing share buybacks, that type of conversation, we have that regularly as a management team and then obviously with the board. We've always taken, as you know, as a very balanced approach to capital allocation that focuses on the balance sheet strength and capital returns to shareholders and also reinvestment in the business considering we have a significant organic growth pipeline up and coming that return a lot of value to shareholders. We're one of the few producers of our size that actually pay a dividend and we supplement that with the NCIB. And as you pointed out, we definitely consider our cash balance to be a strategic advantage. We have the financial strength to fund our growth opportunities, but also have the ability to continue to pay a dividend and also to pursue accretive M&A opportunities. And perhaps with that, maybe I'll turn it back to Dave on perhaps discussing more about considerations around growth.
David Rae: Yes, so Raj, I mean, we obviously maintain a set of targets that we review on a regular basis and consider for M&A opportunities. We also, just to make sure that we have the right context. We have two different organic growth projects in our portfolio. One of which Čoka Rakita is very exciting and imminent, and the other of which continues to progress slowly and quietly in the background, which producing 200,000 ounces a year at its low all-in sustaining costs is exciting as well. So there's the potential for use of funds, either returning capital and we have a healthy conversation on what we do in terms of dividends and buybacks. Opportunities to invest where we have some accretive results from M&A and then also looking at what's happening in terms of the picture investments and the outlook sort of year-by-year for both Čoka Rakita and also for our secondary project at Loma Larga. And I think more than that, I don't know if that answered your question, if you have anything else that you'd like to clarify, but that I think is a reasonable indication of our position.
Raj Ray: Okay, that's great. Thanks, Dave. That's it from me.
David Rae: Thanks, Raj.
Operator: Thank you. One moment for our next question. Our next question comes from Don DeMarco of National Bank Financial. Your line is now open.
Don DeMarco: Thank you, operator. And Navin, I'd just like to continue, follow-up on the response to your question to Rob. You mentioned that you expect working capital to come back after the agreement is terminated. So with the agreement terminating at the end of December, should we expect the repayments to be reflected on the Q4 financials or in Q1?
Navin Dyal: Yes, hi Don. Yes, so the agreement terminates on December 31st and the mechanics of the way that works with respect to the buyback of that inventory is that that buyback occurs on December 31st. However, given the fact that it's also, we're in the holiday season, and it's scheduled to occur right on New Year's Day when we receive, this could slip into the first week of the January [ph] in terms of the payments. Also, just to note as well, what they're buying essentially is both the raw materials that is on-site and on-ship, as well as the contractual metal in the circuit, which is obviously in the circuit, and we'll have a final adjustment of what that figure is, only post-December 31st. But I would expect the majority of the value of that working capital would be recovered by the end of the year.
Don DeMarco: Okay, fair enough. And just in general, are the outlays that you incurred over the last few months consistent with what you expected, or are they a little bit higher or lower?
Navin Dyal: Sorry, I didn't get to the first part of your question, Don, the delays?
Don DeMarco: Yes, are the outlays or the cash outlays that you incurred to purchase the concentrate, is it in line with your expectations, or is it a bit higher or lower?
Navin Dyal: Yes, it certainly is a little bit higher. It does fluctuate with metal prices. So certainly there will be, with higher metal prices, copper prices, the value of that metal is definitely going to be higher. But in terms of the expected timing of those purchases, they're in line. I think the other piece of this is really the performance of the smelter and how quickly they can return the blister. Not where it's subject to, obviously, you know, operating performance and edge downtime that may have been associated with the smelter. That would potentially extend the timing of the delivery of the blister at any point.
Don DeMarco: Okay, thanks for that. Now, just over to David, Chelopech has posted a couple quarters of ASIC in the $500 to $600 range. Is this the new norm? We're looking ahead to 2025 and guidance. How should we kind of frame our expectations on cost looking ahead?
David Rae: So, Don, of course, we will be updating our guidance when we come up with our Q4 numbers. What do you see coming through, though? Primarily two things. So the one is the copper price influence on the -- any costs. The other one is also the change in concentrates and where they're going. So that's had a very material impact for two reasons. One is the direct charge, the TC. But the other piece, which is perhaps not as evident, is it also allows us to target a higher recovery with a greater mass flow. So we've increased the tons, decreased the grade, which increases the overall recovery. So those two things, the copper and pyrite, plus also the change in the way we're operating the facility, which is, with the recovery way outweighing the increased cost associated with the tonnage of concentrate.
Don DeMarco: Okay. So clearly those are the drivers that are supporting these little costs. But would you say the Q2 and Q3, then, might be the new norm in terms of the costs that we're seeing there?
David Rae: So Q3 includes a number of different things which are important for the start of the annual cycle, which recognize this pay increases, for instance. So that would be a more representative number than would be Q2. Things like inflationary pressures and such, and such we started to see unwinding of some of that previous pressure. So we benefit with some like reagents, steel costs, and things like that. We're starting to see that come down. So I would say if you ever look at it, Q2 is a good start, but we will update you on that early in the New Year.
Don DeMarco: Okay, thank you. And then final question. So we're continuing to hear progress at Loma Larga. It'd be nice to get an impression of your overall strategy for this asset. I mean, you made this investment at a lower goal price. No doubt it's increased in value. Two things then. When would we expect an update on the economics, including development CapEx? And second, are you sort of squarely focused on developing this asset, or would it even potentially be a divestment candidate for a profit?
David Rae: Let me start with that in reverse. We're not wedded to any particular asset. So the decision in terms of the strategy on any asset is something that we consider as any given time. So, we have Tierras Coloradas, and we have Loma Larga in Ecuador. I think we've been very pleasantly surprised by the progress that's been made recently, despite many of the things happening in country. And that's led us to the point where we've had the two technical reports required by the Constitutional Court submitted just at the end of the quarter, actually in October. And then, of course, we've just had a consultation to some communities looking at that particular information that's coming out of those two studies. All of these things are good progress, and we're now just waiting to see the prior informed consultation being completed. So let's just have a look at the project and the rest of your question, though. We still have to do some additional work here, which will update the economics of this project. So the first thing that would happen with clearance to progress the project is we're going to commence some drilling, and that will be focused on geotech hydrogeology and some minor amounts of resource clarification, particularly at depth below the deposit. So that work is expected to happen, and will then feed into going through our current status with our internal technical view of how we'll develop this project, and that's going to lead to an updated feasibility study. So that's going to take us some time. But don't expect that to be overnight, just the idea of looking at what the individual costs are for supply, earthworks, and other contracting and things like that. This takes a little bit of time.
Don DeMarco: Would that be a 2025 item?
David Rae: It depends on when we got the clearance to move forward, to be quite honest. We're not talking about something that's going to be done, let's say, in six months. It's going to take a little bit longer than that once we get to move on. And at the moment, we can't do drilling on the assets. That's primarily the main thing that we need to do. But just to come back, Don, to, you've seen the movements of Čoka Rakita as we've identified the opportunity. They're really excited about what we see. That's really gone into prime position and is our main focus of the organization.
Don DeMarco: Okay. Thank you, David. That's all for me.
David Rae: Thank you.
Operator: Thank you. [Operator Instructions]. Our next question comes from Jeremy Hoy of Canaccord Genuity. Your line is now open.
Jeremy Hoy: Hi, everyone. Thanks for taking my question. Really appreciate that call around Loma Larga that answered a lot of the questions I did have, but I did want to ask on Chelopech. There was a mention of the China VAT tax applicability potentially changing. I was wondering if you could provide a little bit more color on that. And there was also a mention of potential alternative buyers, but my understanding was there are limited buyers for this cause and trait. And so, just kind of want to understand exactly how you're thinking about that?
Navin Dyal: Sure, Jeremy, it's Navin here. So just a bit of background. So, we have been sending about 75% of our concentrate to China. This is both the copper-gold concentrate and the pyrite. And again, we produce two types of concentrate there. The pyrite concentrate that we send from Chelopech have always attracted VAT at 13% and an additional duty of 1%. As far as copper-gold concentrate that we would send there would not attract that VAT or that duty, because it was a high graded metal threshold that was required in China to be considered a precious metal or gold concentrate that was not subject to this. So what China's tax authority is proposing, and these are only proposed changes at this point, is to apply VAT and duty on gold concentrate that otherwise has a high component of iron and sulfur, which they would consider a pyrite concentrate and hence would be captured or attract VAT and duty. So that's the background of this. So, at this point, this is really just fairly new. What we saw in September, and this is being reported in October, was that the imports of this concentrate purchased by the buyers in China for smelters has been significantly down. What I'll also point out in terms of the impact to us is that our contracts clearly state that any additional taxes that are incurred are at the buyer's expense. However, we do recognize that ultimately this will have -- if this were to be enacted, that this would definitely have an impact on future deliveries of concentrate to China considering the additional costs that would be required. Now, in our case, look, we've been producing this concentrate for over 20 years now. We are very familiar with the market, the broader market, and we do have alternatives to that, but as you point out, though, given the nature of our concentrate, those additional areas or potential areas that we could deliver our concentrate might incur additional costs, but at this point, it's really too early for us to really comment on that. Hopefully that helps.
Jeremy Hoy: That's very helpful. Thank you, Navin. I appreciate it.
Operator: Thank you. Our next question comes from Eric Winmill of Bank of Nova Scotia. Your line is now open.
Eric Winmill: Great. Thank you very much. Hi, David and team, I appreciate you taking my question. Just on the inventory payments at Tsumeb, just trying to understand here, I know you said there's no major financial gain or loss associated with that, but just wondering, if we should be modeling, margins obviously on these inventory sales. Also, do you anticipate any counterparty risk on this? And I guess, is there any potential here that this agreement could get extended beyond the December 31 deadline? Thanks.
Navin Dyal: All right. Thanks, Eric. So I'll just address a few of those here. So in terms of the margin, it's a back-to-back contract, essentially. So we purchased the materials essentially from the previous tolling agent, which is IXM, and then we deliver the blister back to them as well. So because of that back-to-back nature, there's no price risk because essentially they're hedging on both sides of that transaction. And essentially we don't collect essentially any type of commission on that as well. So that's what I would suggest with that. In terms of counterparty risk, IXM has been a purchaser of this material. They want the blister, and hence I don't think that there's an issue here. And then when it comes to margin or additional costs, we are charging an interest on this to Sinomine for the working capital. This interest is north of 7.5%. And given where interest rates have been falling, this cash would have been essentially sitting in our account at less than that. So we are making a small amount on interest income, but it's enough to cover our internal costs, which we're managing all of these transactions internally. So hopefully that helps.
Eric Winmill: And just last part in terms of extending this beyond December 31st.
Navin Dyal: Yes, of course. Yes, as I mentioned before, the contract ends on December 31st. And thus far we've enjoyed a really good relationship with both Sinomine and IXM, and everything's been working in accordance with our agreement.
Eric Winmill: Okay, thank you. I really appreciate that. Just quickly on Čoka Rakita. So obviously, new resource estimate is underway there. Do you anticipate releasing that, I guess in advance of the PFS?
David Rae: So what will happen is that primary activity here and the work done was to convert inferred to indicated, so that's the main thing that you're going to see. Yes, hopefully that answers your question.
Eric Winmill: Okay, perfect. I appreciate that. Just one more for me. There was a mention in the disclosures here about the Brevene license, Chelopech. Just wondering, I guess, what's the plan there? And what do you see for that particular part of the deposit or of the land package?
David Rae: Yes, sure. Eric, I think there's two different things that we typically talk about here. The one that's been Sveta Petka historically and that's what we now referring to as Chelopech north. So that's advanced from where we now are with Brevene, Brevene exploration license to a geological discovery, which is where we are now with Brevene, and we've subsequently advanced beyond that to a commercial discovery. And by the end of next year, we're anticipating having a new concession for that. So Brevene is part of that same thing. So we've now got the geological discovery. What we're now doing is we're justifying with the authorities that plan for this next phase of work, which would be a one year period of drilling, which would then be used to justify a commercial discovery. Now, the impact of this is it opens up the real estate on which we can do work to discover additional potential weed to Chelopech. So that's the primary impact of all of this work is just to open that up. At the same time, as you know, we continue to drill in areas within the concession. And from underground, we continue to do some, let's say 70% extension and 30% infill for around 40,000 meters per year. So all of those things are looking to a view of extending the life of miner at Chelopech, and obviously the more real estate we've got in that area and how prospective it is, the more we're able to look to really extend that life of Chelopech. So that's our primary goal.
David Rae: So just, Eric, the one thing I'm not too sure is quite clear. Of course, we'll be releasing the PFS. We've said that's going to be in the first quarter of next year and that will include consideration of what additional benefit we've got from the drilling that we've done, where we've taken it down to 30 by 30 meter spacing with 15 by 15 in the high grade area. So just making sure that, I've got that point across in terms of [indiscernible].
Eric Winmill: Okay, fantastic. Really appreciate you added color. Actually, maybe just one more if you don't mind, but Ada Tepe, so obviously expecting stronger production there. I know you kind of touched on that, but maybe anything specific you can point to in terms of what's changed there or reasons why production's down and why you see it taking up here in Q4?
David Rae: Yes. So we had a combination of an underperformance in an area in terms of grade combined with some issues with our flexibility related to truck availability. So both of those are resolved in terms of Q4. So we're not anticipating any impact carried through from early Q3 into Q4.
Eric Winmill: Okay, fantastic. Thank you very much. I really appreciate the extra color. I'll hop back in the queue. Cheers.
Operator: Thank you.
David Rae: Thanks, Eric.
Operator: Our next question comes from Ingrid Rico of Stifel. Your line is now open.
Ingrid Rico: Great, thank you. Good morning, David and team. I just wanted to follow up on a question previously asked. I think Don asked about the Chelopech cost. So understanding the benefits from the lower TCRCs and freight charges, but I did notice that the unit cost per ton did increase quarter-over-quarter. Just if we can get a bit of color on what are the drivers there, is it just purely labor wages coming up to inflation or is there any other sort of inflationary pressures on consumables that are coming through?
Navin Dyal: Hi, Ingrid. Yes, sure, I'll answer that. So yes, the main factors there was labor wages, and also a little bit of share-based compensation expenses because we saw an increase in our mark-to-market for the quarter on the unit cost of Chelopech week. So and the labor, as Dave pointed out, is that we typically have wage increases in the middle of the year. In fact, they're backdated to July in Bulgaria. So that's going to be a bit of a factor here in terms of the increase that you're seeing there. But also I think what also should be mentioned is that we did have slightly lower tons in the quarter relative to the prior year, it's about 6% down. Hence why on a per unit basis, we're seeing a little bit of an increase there, but when it comes to other consumables, we're actually seeing relative to our budget, either flat to slightly improving costs in some of those areas, particularly with respect to things like steel and grinding media. We just renewed a contract there recently in which we saw savings from the prior contract as well. So when it comes to other major consumables, we're not seeing any inflationary pressures happening there. So hopefully that answers your question.
Ingrid Rico: Yes, that's great, Navin. Just in terms of the labor increase and the labor wage increase, just remind me, the contract, it set every year, or are you now locked in on the wages for a longer term period?
Navin Dyal: Yes, it's every two years that we have these negotiations.
Ingrid Rico: Perfect, excellent. And if I can, just also a follow-up on the concentrate being sent to China. As I understand, these are already contracts for 2025 to 2027. What is your ability in those contracts to maybe divert some of those sales to other regions and whether that's possible under the contracts?
Navin Dyal: Yes, I mean, clearly if we -- so a couple of things to mention here. One is any of the bad increases or duties that would be applied are at the buyer's account. So we would be happy to continue to deliver into China so long as the customer is willing to take it. Now, the issue perhaps then for the customer in this case, or the smelters, is that if they take this concentrate and if this proposal by the Chinese tax authorities were to remain in place, they would be operating likely at a loss for much of this contract. Hence why we've seen such decline in imports. They have been very vocal. The smelters themselves have been very vocal against these proposals. So if they are operating at a loss, they certainly would be looking to potentially exit these contracts and not take the material in one instance, in which case we would be looking for alternatives for this concentrate. But ourselves, we would be happy to continue to deliver again. We're not this DAT and this duty does not essentially get passed on to us. If we continue to deliver into China, it would have to be absorbed.
Ingrid Rico: Understood. That's great color. And just to finish up on sort of the concentrate sales, maybe just if you can share how you're seeing those commercial terms in the global market. Have we sort of peaked on those sort of good terms or how do you look at those into 2025?
Navin Dyal: Yes, we have seen a significant improvement in our TC's over the course of the year. And I think I've mentioned this before, it's about $100 a ton in terms of benefit there that we've seen in the global market. We don't think its hit necessarily bottom just yet. We continue to see improvements there. But certainly it's at record lows in terms of these charges.
Ingrid Rico: Great. Thank you for that. That's it for me.
Operator: Thank you. This concludes the question and answer session. I would now like to turn it back to Jennifer Cameron for closing remarks.
Jennifer Cameron: Well, thank you all for joining us. We look forward to keeping you updated over the course of the next few months. And we'll catch up on the next quarter. Please feel free to reach out with any additional questions. Thank you.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.